Operator: Ladies and gentlemen, thank you for standing by and welcome to the IntriCon Corp's Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Investor Relations' Ms. Leigh Salvo. Thank you. Please go ahead.
Leigh Salvo: Thank you, operator. Before we begin, I would like to preface our remarks with the customary Safe Harbor statement. Today's conference call contains certain forward-looking statements. These statements are based on the current estimates and assumptions of IntriCon's management and are subject to uncertainty and changes in circumstances. Given these uncertainties, you should not place undue reliance on these forward-looking statements. Actual results may vary materially from the expectations contained in today's call. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our most recent annual and quarterly reports on Form 10-K and Form 10-Q, respectively, with the SEC. With that, I would now like to introduce IntriCon's CEO, Scott Longval to review the company's third quarter performance and financial results. At the conclusion of his remarks, we'll open the call for your questions. Scott?
Scott Longval: Thank you, Leigh. Good afternoon and thank you for joining us. We hope you are all remaining safe and healthy. I'm excited to assume the new role is IntriCon's CEO and inspired by the commitment and leadership of my colleagues each day. As we look ahead, we have a significant opportunity to leverage our core strengths in a diversified high growth medical markets. In preparation over the last two years, we have taken the steps to strengthen our balance sheet, bolster our leadership team with extensive sector-specific experience, expand our core competencies geared to serve new medical markets, and sharpen our focus and discipline on core competencies and business development. Through this work, I'm confident we are well-positioned to capitalize on current and emerging opportunities in high growth medical markets to be a leading joint development manufacturing partner for miniature and micro-miniature medical devices. On the call today, I'd like to start by covering some of the highlights of our third quarter performance, including an update on progress in each of our key medical markets we are targeting and thoughts on the remainder of 2020 and beyond. As we are still in progress of hiring a new CFO, I will also discuss additional color around our financial results reported earlier today. On that note, we are making good progress towards identifying the right candidate to fill that role, with a goal of having somebody on board before year end. At the conclusion of my prepared remarks, I'll open up the call for your questions. Starting with our third quarter performance, the IntriCon team continued to deliver against the priorities we established at the outset of this year and I'm proud of our accomplishments in the quarter. Total revenues increased approximately 2% year-over-year to $27.4 million and sequentially revenues grew 16% exceeding our expectations as we enter the quarter. Encouragingly, despite the continued impact of COVID-19 on the global healthcare sector, we experienced signs of growth across all aspects of our business over the first half of the year. This included increased engagement with Medtronic Diabetes Group, the positive impact of our acquisition of Emerald Medical Services, and increasing access to audiologists supporting our hearing health business. And while not yet reflected in our top line, we were able to ship more resources due to business development to support longer term growth initiatives. While we are still operating in a modified work environment, with all federal and local recommended safety protocols in place to ensure the health and safety of our employees and uninterrupted supply chain to our customers. We expect to continue to do so through at least the remainder of the year. In spite of these adjustments, our team has come together to drive results. Our manufacturing operations have continued to meet customer demand despite various supply chain challenges. We have also started to implement innovative ways to work through present access challenges to showcase our capabilities to prospective customers, such as the addition of virtual facility tours, which will be widely available on our new website set to launch in December. Importantly, to continue emphasis on cost control, coupled with significant restructuring actions, taken over the first half of the year, enabled us to post approximately 650,000 in profit this quarter, with a line of sight to continued greater bottom-line stability in our core business. I'd like to take the next few minutes to dive into some detail on our progress in several of the key medical markets where we are currently focused. Starting with the Diabetes market, sales of Medtronic Diabetes Group represented 53% of total revenue during the third quarter. As anticipated, we saw quarter over quarter improvement because new patient starts increased, arbitrary attributed to the healthcare systems beginning to reopen in select regions worldwide. More specifically, the rebound was driven by sales of the continuous glucose transmitter we produce for Medtronic integrated insulin pump systems. In September, Medtronic announced FDA approval for the MiniMed 770G insulin pump system with smartphone connectivity. This is the latest system that expands the benefits of hybrid closed loop therapy to younger children living with type one diabetes, and makes it easier to access and share real-time CGM and pump data. The system will enable caregivers and care partners to see user data remotely on their smartphones with proactive in-app notices sent me glucose levels router range. The data can also be shared automatically with clinicians and educators. To help facilitate a more effective telehealth visits and product trainings. We are excited to be supporting such innovative technology that will better the lives of type 1 diabetics. Our relationship with Medtronic Diabetes Group remains as strong as ever and as we look towards the end of the year and into 2021, we are confident that we are well-prepared to continue to meet volume demands and support their anticipated global product launches and upgrades. Next, turning to the surgical navigation and interventional market. This is a segment we're especially excited about as we see tremendous growth opportunity from both opportunities to leverage existing capabilities and micro miniature electronics, precision molding and medical coil technologies as well as the new market opportunity opening up following a recent acquisition of Emerald Medical Services for EMS. The integration of EMS is progressing smoothly, with the contribution of 2.8 million to our revenues in the third quarter. We anticipate continued low double-digit growth through the remainder of 2020 with accretion to net income for the year. As we highlighted on prior calls the acquisition of EMS enables us to immediately diversify our revenue base, including largest customer, Medtronic Cardiac and Vascular group for which it currently serves as a sole manufacturer for Medtronic Chocolate PTA Balloon Catheter. Chocolate, the key product in Medtronic peripheral vascular catheter portfolio is designed and clinically proven to reduce trauma by providing balloon inflation that is predictable, controlled, and uniform. Medtronic recently received regulatory approval in Japan for chocolate PTA expanding its addressable market. We anticipate seeing the benefits of the approval in the coming months. Going forward, we are confident that we can leverage EMS' strong reputation with Medtronic's Cardiac and Vascular group with IntriCon's financial stability to secure other business opportunities within Medtronic. Lastly, our Medical Coil business continued to deliver strong results during the third quarter, up over 38% over the prior year period, driven from ongoing customer demand serving the interventional pulmonology and electrophysiology markets. Turning to the Hearing Health market, we also saw upside, as I noted earlier, from increased access to audiologist. In addition, because we await updates on pending OTC legislation, we continue to make progress in our discussions with a number of potential partners that are actively pursuing end customer healthcare initiatives, and specifically solutions for hearing healthcare market, including retailers, branders, and pharmacies. As previously disclosed, earlier this year, we elected to postpone our self-fitting software clinical trial until such time we can ensure the health and safety of the trial participants. We have been working on safety measures to adapt our clinical protocol to be COVID-safe. While there are a number of moving parts, we maintain our goal of completing the trial by mid-2021. As we enter the final quarter of 2020, I believe IntriCon has weathered the worst of the storm, with several encouraging milestones on the horizon, including strengthening order patterns across our Medical business, particularly with our largest customer in the Diabetes segment, and our Medical Coil business. Furthermore, as I noted last quarter, we have adjusted our cost structure to provide greater business stability in today's uncertain business environment. Looking forward, we are working to enhance our organizational design to better shape the way we structure and operate our business. As our structure evolves that will sharpen our investment discipline and increase the speed at which we operate. I am confident that this will best enable IntriCon to successfully focus our resources on strategic market opportunities that are key to long-term growth. Turning to our financial results for the 2020, third quarter, as I noted earlier, net revenue was $27.4 million versus $26.9 million in the comparable prior year period. By core business segment, revenues in our Medical business for the quarter were $20.7 million, an 8.1% increase year-over-year, and represented 75% of total revenue, which was relatively consistent with the third quarter prior year. Again, this increase was largely driven by our Medical Coils business and a $2.8 million revenue contribution from Emerald Medical Services, which the company acquired in May 2020. In our Hearing Health business segment, total revenue for the third quarter was $5.5 million, down 13.6% over the prior year third quarter. Once again, this decrease was largely due to no revenue from high health innovations and the reduction in advertising as part of the Hearing Help Express restructuring efforts. However, as I noted earlier, we did see some upside in the segment, due in part to a renewed access to audiologist and solid orders from our indirect and consumer customers. More specifically, within the Hearing Health segment, indirect to end consumer revenue was $1.8 million, direct to end consumer revenue through our Hearing Help Express business was $1 million and our legacy OEM revenue was $2.8 million. Third quarter gross margins were 26.3% compared to 25.2% in the prior year comparable period. The higher margin was primarily due to cost reduction initiatives and higher volumes. Operating expenses for the third quarter were $6.7 million, compared to $7.2 million in the prior period. The declining expenses was largely due to swift and substantial response to the pandemic and its impact on our business, partially offset by the inclusion of EMS. The company also incurred a charge of approximately $250,000 related to an earn out provision in EMS purchase agreement, specifically the Japan regulatory approval of Medtronic Chocolate PTA Catheter that I noted earlier. Encouragingly, we've been able to position the company back to a level of profitability without disrupting progress on strategic initiatives. We posted a net income attributable to shareholders of $644,000 or $0.07 per diluted share versus a net loss attributable to shareholders of $290,000 or $0.03 per diluted share for the 2019 third quarter. Lastly, our combined cash investment balance at September 30th, 2020 was approximately $30.9 million, up slightly from June 30th, 2020. Which brings us to guidance, there's still much uncertainty as we enter the last few months of the year. However, we believe our business has stabilized to a degree where we're confident that our fourth quarter revenues will align with our third quarter revenue. Our confidence stems from stabilizing business trends, momentum with Medtronic, and EMS delivering results as expected. In short, we're cautiously optimistic as we enter the final quarter of the year, but we want to reiterate that the COVID-19 pandemic poses a risk of uncertainties to our operating results. As we look out further to next year, our focus will be on expanding existing relationships with top tier medical OEMs, leveraging core competencies to diversify our customer base and medical markets, positioning to capitalize on the changing regulation in Hearing Health market, and enhancing our organizational design to more effectively scale and drive continuous innovation. With that, I'd now like to open up the call for any questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Jon Block from Stifel. Your line is now open.
Jon Block: Great Day. Hey, Scott, good afternoon. One thing to just call out, maybe start higher reps year-over-year lower OpEx. Maybe if we can start there is the thought that the lower OpEx is sustainable going forward and then just to be clear that $250,000 earn out, was that in the OpEx number for the quarter or was that somewhere else below the line?
Scott Longval: So that was in the OpEx number of for the quarter, Jon -- in the operating expenses. You'll see that under the other operating expenses line on the press release. And then in terms of your broader question and lowering the CapEx, obviously, we made the decision, as we thought about repositioning our hearing health asset, thinking of it more instead of a growth engine, but really to support our product development, pulling back significantly on the sales and marketing advertising expense. And that's a trend that you're going to see continuing going forward. That said as we begin to make inroads in some of the end markets, we'll probably look to increase our sales and marketing, get more feet on the street to more aggressively drive penetration into those desired markets. So, I do think that, again, it'll be lower than what we've historically been running. But I do think over time, you'll start to see more investments going sales and marketing to support selective growth in those end medical markets.
Scott Longval: Okay, got it. And maybe one or two more for me. You spent some time throughout the call alluding to some of the business development opportunities and putting some resources and investments behind it. If possible, can you be a little bit more specific as to when those may materialize or take hold? Are those longer term in nature or could we see some incremental opportunities come into the P&L in 2021?
Scott Longval: Great question. I think it's a combination. I do think you'll start to see some of the fruits of that labor that we've been working on over the last 18 months materialized into 2021. We're going to continue, as I mentioned, though, to put more resources into driving into more opportunities that are longer term in nature. So, I think you have a combination Jon of opportunities that we're working on both that will come through in 2020 and then others that will support longer term growth in 2022 and beyond.
Jon Block: Got it. And last one for me on the Hearing Health side, it sounded like maybe I'm mistaken, but you haven't started the trial; you want to ensure the safety of the participants. So, I guess it's sort of question one is a trial that started, when would you need to start the trial, Scott, do you think in order to complete it by call it that mid-year timeframe that you alluded to? And then just like a bolt-on to that line of questioning, what's going on at a higher level with the industry in regards to Hearing Health? In other words, has everything just come to a standstill, as everyone awaits the regulations? Are there still progress being made in the background with some of the potential branding partners? Maybe if you can just talk to at a higher level, what is or is not occurring down that road? Thanks for your time.
Scott Longval: Thanks Jon. I'll take the last question first and then follow up on the timing of our clinical. So, clearly, there's -- what the pandemic and the push out in the FDA draft guidance, there's still activity going on, I would say it's not quite as robust as where we were when the law was passed back in 2017. But there are still a lot of activities that are happening and we are still working with potential brand new partners, potential retail partners. And that will be a focus as we round out 2020 and enter into 2021. And I am confident that we will be able to secure a brand new partner as the draft legislation comes to light. In terms of where we're at with our clinical trial? Obviously, we had to put safety first. We did work with the FDA to outline what our clinical trial was going to look like prior to the pandemic we've taken a step back. We've adjusted we've tried to adapt to what we see as a more COVID safe protocol for our clinical. We'll be engaging the FDA here over the coming months with our anticipation to start sometime in the first quarter, depending on the feedback we get from the FDA. So, those activities are still moving. But again, obviously, with what's going on with the pandemic and the delay in the draft guidance, it could slow things down slightly.
Jon Block: Perfect. Thanks for the color.
Operator: Your next question comes from the line of Kyle Bauser from Colliers Securities. Your line is now open.
Kyle Bauser: Great. Thanks. Good evening. Thanks for the updates. Maybe just EMS, correct me if I heard this wrong, did you say sales were $2.8 million in the quarter? And second, how should we think about this? I mean, seems like a pretty nice opportunity here, should we see this stepping up sequentially now that we've unlocked Japan, just trying to think about how we should model this going forward?
Scott Longval: Yes, great question. Look, this is -- when we did the acquisition, this was one of the reasons we were excited about moving into the space. Not only were we acquiring a business with a very skilled senior team, one that had a very great relationship with Medtronic, we felt like this product line, had great opportunity. And so we were very excited for the approval in the Japan market. We think that we'll start to see some of that benefit come through potentially late this year, but most likely, Kyle, it won't really begin to materialize until the beginning of 2021. So, as we enter into the last quarter, I would look at revenues coming out of that business to be relatively consistent with what we saw in the third quarter. But we do anticipate a step up as we enter into 2021, Q1 and Q2 to support that launch.
Kyle Bauser: Got it and it was $2.8 million in Q3?
Scott Longval: Correct
Kyle Bauser: Got it. And now that you're in Medtronic Vascular division, through that acquisition, obviously have a very strong relationship in the Diabetes division. I'm just kind of curious, as you look at new opportunities to expand your offerings through new partnerships, have you have you prioritized kind of partnering in a different division at Medtronic? Or are you looking more at outside opportunities at this point is a mixture of just kind of curious how the activities have been going there?
Scott Longval: Yes, great question. And really, it's a combination of both. It's really largely worked when we come in and add value. We know there's other places within Medtronic, that our core competencies could be leveraged and we could add value. Obviously, with the relationship that we've built with the Diabetes group, now coupled with the strong reputation that that Emerald has within the Cardiovascular group, it just puts us in a stronger position to go pursue other opportunities, whether it's within those two groups, or now getting the type of references and recommendations to other groups within Medtronic. So, those will be ones that they clearly will continue to pursue and be very opportunistic. What there's also opportunity outside of Medtronic, and there's a lot of inroads that have been made, not necessarily all showing up on the topline in 2020, but I'm very confident with the work that we've done setting the table in 2019 and hear throughout 2020, that we have great opportunity outside of Medtronic that we'll be able to leverage our technology into certain areas that we've noted in the past such as interventional pulmonology and electrophysiology. And so that will be again, another high priority for us as we enter into 2021.
Kyle Bauser: Got it. Appreciate that. And then just lastly, we saw a very successful HearGo [ph] IPO. Can you talk about how if at all this impacts IntriCon seems like HearGo [ph] can now kind of step on the gas a bit here, which should help IntriCon I would think but just love to get your thoughts. Thanks.
Scott Longval: Yes, and maybe I'll just take that and I'll even step back more broadly. I think this is reinforces what we always thought which is this over-the-counter drug to consumer space, holds great potential. And I think you see that reflected in the evaluation that that Emerald has today and what's your excuse me that HearGo [ph] has today and in the capital that they were able to raise out the IPO. A little bit on the timing, again is a little bit hard to get our handle on just with what's going on with the FDA. But longer term there is a lot of potential there and that's why we're excited. We're excited to be able to be the enabler to work with those, those partners that can really drive volume and that's where our focus is. Obviously, we have a long standing relationship with HearGo [ph]. We supply them their DSP and we're excited to continue to work with them as they look to drive their business and what we think can be a very large market.
Kyle Bauser: Okay, great. Scott thanks for all the updates. That's it for me.
Scott Longval: Thanks Kyle. Have a great day.
Operator: Your next question comes from the line of Andrew D'Silva from B. Riley Securities. Your line is open.
Andrew D'Silva: Hey, good afternoon. Thanks for taking my questions. And sorry, if you hit on these topics, I was bouncing between calls. But I'll start with just a couple quick bookkeeping questions. If you could just let me know what the depreciation, amortization, stock-based comp, cash flow from operations, and CapEx was for the quarter, that'd be useful. And then, while you're pulling that, can you maybe just talk around your partnership with HearGo [ph]? I believe previously, you were their sole source kind of internals components -- internal components provider? Is that still the case or has that relationship evolved in any capacity?
Scott Longval: I'll go through the housekeeping items, Andy and then I'll jump on the other question. Depreciation and amortization for the quarter was $1.258 million. Stock-based compensation was $332,000. Cash flow from operations was $1.6 million for the quarter, and CapEx was $610,000.
Andrew D'Silva: Great. Thank you.
Scott Longval: And now in terms of the relationship with HearGo [ph] as I mentioned it’s a long-term relationship that we've had with them. We supply them the DSP chip that powers their device. So, nothing has changed with that relationship. And again, we're looking forward to supporting the growth that they're anticipating is really to drive into this fast market.
Andrew D'Silva: Okay. Perfect. And my last quick question relates to the Medtronic, can you maybe discuss the cadence or how you're viewing the new diabetes launches, and how they're trending? And has there been any progress on CMS reimbursement for them with obtaining the non-injunctive designation? I did see, CMS had a proposed rule and it looks like it would expand coverage, and payment for CGM classify, like all TGMs versus a therapeutic TGMs, durable medical equipment. So, I was just curious if you could give any color on those two Medtronic topics?
Scott Longval: Sure. Maybe I'll start with the last one. I know there has been some progress on the non-objective. I don't know currently where that stands. So, I don't want to speculate, I guess I will defer to Medtronic. But I know that was something that was they were pursuing and felt like progress had been made. In terms of the integrated pump systems, look, I'm excited about what Medtronic is bringing to the table. I think the 770G system with smartphone connectivity solves a lot of the consumer wants, that they weren't currently getting, but maybe they were getting from some of the competitor devices. So, I think you'll start to see some of that market share that had eroded over time begin to slow and as we look at their future generation product, specifically, the 780, I think that starts to check a lot of boxes in terms of customer delight, whether it's the improved algorithms with alarms, whether it's the auto correction bullets, or compatibility with the Zeus sensor, which really enables fewer finger pricks when they haven't won calibration at the beginning of us. So, I'm very excited about what Medtronic has laid out for their roadmap and IntriCon is thrilled to continue to support what we think is really innovative technology that's going to better the lives of many type 1 diabetics.
Andrew D'Silva: All right. Great. Thank you very much. Congrats on the snap back. And good luck closing out 2020.
Scott Longval: Great. Thank you, Andy. Have a good day.
Operator: I don't see any question. At this time, I will turn it over to our CEO, Scott Longval for closing remarks.
Scott Longval: Excellent. Thank you. And thank you everybody for joining us on the call today. We look forward to updating the group on our year end results and in the meantime, everybody please stay safe and healthy. Thank you have a great night.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.